Operator: Welcome to the Century Casinos’ Q3 2012 Earnings Conference Call. [Operator Instructions] I would now like to introduce our host for today's call, Mr. Peter Hoetzinger. Mr. Hoetzinger, you may begin. 
Peter Hoetzinger: Thank you, operator. I am happy to have all of you joined us for this call following the release of our third quarter of 2012 earnings a couple of hours ago. With me on the call today are Erwin Haitzmann, Chairman and Co-CEO of the company and Margaret Stapleton, Executive Vice President of Finance.
 Before we begin, I need to remind you that in our remarks today we will be discussing forward-looking information which involves a number of risks and uncertainties that may cause actual results to differ materially from our forward-looking statements. The company undertakes no obligation to update or revise the forward-looking statements, whether as a result of new information, future events or otherwise. We provide a detailed discussion of the various risk factors in our SEC filings and we encourage you to review these filings.
 In addition, throughout our call we may refer to several non-GAAP financial measures, including but not limited to adjusted EBITDA. Reconciliations of our non-GAAP performance and liquidity measures to the appropriate GAAP measures can be found in our news release and in the 10-K and 10-Q filings, all of which are available in the Investor section of our website at cnty.com.
 In the third quarter, we managed to increase net operating revenues by 3%, earnings from operations by 4% and earnings before income tax by 14% in the year-over-year comparison. Adjusted EBITDA fell 9% on lower depreciation expenses compared to Q3 of last year.
 All our properties posted solid results in the quarter with the single exception of Calgary. Even though that casino saw table drop increase significantly by 58%, and also slot coin-in by 8%, lower hold percentages as well as a decrease in F&B revenue, coupled with higher marketing costs, led to a decline in EBITDA, but more about that later.
 We continued to strengthen our balance sheet which as of September 30, 2012 showed $22.9 million in cash and cash equivalents and only $3.7 million in debt obligations for a net cash position of $19.2 million. That's net cash of $0.79 per share and an increase of 61% compared to the net cash position at the same time a year ago. That strong balance sheet together with our $27 million credit agreement with Bank of Montreal puts us in a great position to pursue new development and acquisition opportunities.
 Total cash CapEx in the quarter was just shy of $1 million with approximately 5% of revenues spent mainly on projects such as new furniture and equipment at Edmonton, the gaming floor innovation and new bowling equipment in Calgary, hotel room upgrades in Cripple Creek and new gaming equipment in Central City.
 Book value per share as of September 30 was $4.87. With currently 25 casinos in operation, our internationally experienced management team remains local flexible to undertake projects in any well regulated casino market worldwide and to screen several projects on an ongoing basis.
 Last month we entered into an agreement to purchase another 33% stake in Casinos Poland Ltd., the leader in the Polish casino market. The transaction is subject to the consent of another shareholder and the approval of the Ministry of Finance. If these approvals are obtained and we can close this deal, we intend to consolidate Casinos Poland’s result into our financials.
 And based on results of the last full calendar year, this would increase our reported revenues, EBITDA and net earnings significantly. We’re also working on another development in North America, a bit larger in size and investment, and we have narrowed our focus in Southeast Asia down to 2 projects.
 As usual, I will now briefly highlight the quarterly results of each individual property. Our largest casino, Century Casino & Hotel in Edmonton, Canada which by now has grown to 755 gaming machines and 35 gaming papers had another robust performance. Revenue was up 6% and EBITDA was up 3% year-over-year. The EBITDA margin was a strong 32%.
 Other key figures increased even more. Table drop was 20% higher, slot coin-in was up 8%, deploying of our [indiscernible] even increased by 41%, F&B revenue was up 8% and hotel revenue up 21%. These are very good indicators about the continued strength of this operation, even though business has been interrupted by road construction immediately in front of our casino during sometime in the quarter. This property accounted for 1/3 of the company’s total revenues and 43% of our adjusted EBITDA.
 We’re working on plans to increase our hotel capacity and on other means to further strengthen our competitive position in the Edmonton casino market. The players' club loyalty program grows nicely and we continue to market the showroom with live entertainment, events, concerts and various catering functions to drive traffic to the casino.
 In Calgary, revenues declined 5% and EBITDA was negative. Obviously that's a disappointment. Business volumes were not bad though with table drop up a 58% and slot coin-in up 8%. We definitely need to make more out of this and have started another strong push led by my Co-CEO Erwin Haitzmann to improve bottom line performance. We have completed renovation of part of the gaming floor, including the removal of washrooms, modifications of the [indiscernible] and consolidation of most table games to one area.
 And after thorough analysis we've decided to discontinue the use of the event center for concerts and shows. Instead we will create, very cost efficiently, covered and most conveniently located VIP parking, something that has done very well for us in Edmonton. We like the Alberta casino market a lot; it has a good regulatory environment, a limited number of licenses for casinos, a healthy economy, so bear with us on this one. We confident it will get better.
 Moving south to Colorado, our Century Casino & Hotel in Central City had a very good quarter. Revenue was up 6%. EBITDA was up 19%. The Central City backlog market remains very competitive. The Reserve and Johnny Z's Casino in Central City continue heavy promotion activities, and Black Hawk casinos [ph] are also doing extensive media marketing. We continue to focus on VIP, player development and consistent daily promotions.
 The fourth quarter started very well with growth rates similar to the ones we saw in Q3. In Cripple Creek Colorado, our net revenues decreased by 4% while EBITDA was up 7%. The EBITDA margin was 26%. Slot coin-in was up 3% but lower hold percentage and lower table revenues caused the overall revenue to drop. The property is in the midst of a complete renovation of all hotel rooms with a goal to offer the best product in town.
 Our current marketing and promotions strategy focuses strongly on the casino weekend promotions when customer volumes are highest, as well as on food and hotel offers. The 13 casinos we operate and manage on cruise ships and in Aruba saw revenues decrease by 17%. EBITDA was up 40%. With just over 400 slots and 55 gaming tables, this segment of our operations generates 10% of the company's revenues and 7% of total EBITDA.
 Last but not least, I'd like to give you an update on Poland. Currently we have a 33% equity investment in Casinos Poland Ltd. which operates 8 casinos in 4- and 5-star hotels in all major cities in Poland. The brand Casinos Poland is exceptionally strong, as demonstrated by a market share of around 48%.
 The third quarter was more like a transitional one for the company as some casinos had their license renewed, but were closed in that process for some time and moved to new locations within their respective cities. This led, not unexpectedly, to a 17% decline in revenues. But the fourth quarter started out extremely well. The month of October bounced back strongly and produced the highest revenue of that month in 5 years.
 As announced last month, and mentioned earlier, we have entered into an agreement to up our stake in the company to 2/3, subject to the consent and approval from the Ministry of Finance and shareholders. We hope to be able to close the transaction the first half of 2013 and are really excited about the opportunities lying ahead, especially in terms of creating higher operating efficiencies and improving operating margins.
 With that, I thank you for your attention. That concludes our summary of the third quarter 2012 results and I now open the floor to questions. Operator, go ahead please. 
Operator: [Operator Instructions] Our first question comes from the side of Todd Eilers with Roth Capital. 
Todd Eilers: Wanted to start off on the Calgary property. In the Q I believe or maybe in the press release you guys mentioned lower table game hold there. How material was that? And I don’t know if you can quantify the impact there versus maybe what you would consider normal hold? And then also in terms of marketing costs there, any plans to possibly ratchet that back a little bit to help improve margins? 
Erwin Haitzmann: Yes. Todd, this is Erwin Haitzmann. First of all, with regard to the lower hold, the lower hold is only caused one game which is called EZ Baccarat. That’s the game – that's actually the only version of Baccarat that is offered by all casinos in the market. And this game has 2 types [ph], one is called PANDA and one DRAGON. And with this 2 tie pits [ph], that game is very volatile. Very volatile, but nevertheless, very attractive for both players and also us as an operator. But the volatility means that if we had held somewhere the expected hold, then the revenues would have been about $150,000 to $200,000 higher. And I will also say that this game is so attractive all over town that it has the highest increases and looking at the drop, we are number 3 in town. And we have almost doubled our drop compared with last year in that game. At game securities and usage [ph] always we’re 100% on it and watch everything close and even closer. We’re confident that everything is fine. It’s just a game with high swings. But we feel confident we should continue to do what we are doing and the statistics will level out. Secondly, with regard to the marketing costs, we have decided already a month ago that we will lower marketing costs, we have significantly [indiscernible] with a whole marketing approach that has started already. One of the things Peter has mentioned already, we had found that in Calgary, completely opposite to Edmonton, the shows had not done anything significant for the revenues of the casino and that probably has to do with the fact that on days when shows take place, parking has become a problem. If we had another 600, 700, 800 cars, and you may remember that our showroom in Calgary holds up to 1,100 people, that meant that it was difficult for the regular customers to park. So after thorough analysis we have finally decided to discontinue all shows in Calgary and as Peter said before, we will convert the showroom into indoor covered VIP parking. 
Todd Eilers: Okay. Also wanted to ask you about Casinos Poland, was a bit below expectations or at least our expectations for the quarter, and I believe you mentioned that there were -- the cause for a little weakness there was the opening of 2 new casinos. Was that the only issue or were there any other one-time items? And then it sounds like we've gotten off to a good start to the fourth quarter. Any sort of one-time items or things we need to be aware of for the fourth quarter? 
Erwin Haitzmann: No one-time items, no, it was only the new casinos, with changes [ph] that took a little time to take on. 
Todd Eilers: Okay. And were those 2 new casinos, were they existing licenses that the company already had that they… 
Erwin Haitzmann: New ones. 
Todd Eilers: Brand new, okay. Okay, that’s helpful. And then can you maybe give us a sense for, I don’t know if it’s material or not, but how much kind of corporate expense might have hit the quarter related to the Casinos Poland agreement to take an increased ownership interest there, and should we expect an uptick in corporate expense in the fourth quarter related to that transaction as well? 
Peter Hoetzinger: The expense was not more than $100,000 and we don’t see any reason for an uptick.  The organization is in place at Century to handle. 
Operator: [Operator Instructions] And it appears we have no further questions. So I’d like to turn the call back over to our presenters for any closing remarks. 
Peter Hoetzinger: Thanks, everyone, for your interest in Century Casinos and your participation in the call. For a recording of the call, please visit the financial assigned section of our website at cnty.com. Thank you. 
Operator: This concludes today’s conference call. Thank you for attending.